Operator: Good afternoon, ladies and gentlemen. Welcome to Tucows' Fourth Quarter 2015 Conference Call. Earlier this afternoon, Tucows issued a news release reporting its financial results for the fourth quarter. That news release and the financial statements are available on the company's website at tucows.com under the Investors heading. Please note that today's call is being broadcast live over the Internet and will be archived for replay both by telephone and via the Internet beginning approximately one hour following the completion of this call. Details on how to access the replays are available in today's news release. Before we begin, let me remind you that matters the company will be discussing includes forward-looking statements and, as such, are subject to risks and uncertainties that could cause the actual results to differ materially. These risk factors are described in detail in the company's documents filed with the SEC, specifically the most recent reports on the Form 10-K and Form 10-Q. The company urges you to read its security filings for a full description of the risk factors applicable for its business. I would now like to turn the call over to Tucows' President and Chief Executive Officer, Mr. Elliot Noss. Please go ahead Mr. Noss.
Elliot Noss: Thank you, operator. Good afternoon, ladies and gentlemen, welcome to Tucows fourth quarter 2015 conference call. Earlier this afternoon, Tucows issued a news release reporting its financial results for the fourth quarter. That news release and the financial statements are available on the company's website at tucows.com under the Investors heading. Please note that today's call - sorry, that would be in the operator script, excuse me. Thank you, operator, and thanks everyone for joining us today. With me is our Chief Financial Officer, Mike Cooperman. As per our usual format, I'll begin today's call with an overview of the financial and operational highlights for the quarter. Mike will then review our financial results for the quarter in detail. And I'll return with some closing thoughts before opening the call to question. The fourth quarter was a strong finish to a year that saw record performance across our key financial metrics. Revenue for Q4 surpassed the $45 million mark for the first time bringing the total for the year to just shy of $173 million, representing year-over-year growth of 16% and 17% respectively. Over the course of the year, we saw steady growth in the gross margin contribution of Ting Mobile as the customer base expanded. In fact, the fourth quarter marked the milestone of sorts as, for the first time, the gross margin contribution of our network access business exceeded that of our domain services business. Overall, gross margin percentage for the quarter ticked up once again to 31% from 30% in Q3 and for the year also came in at 29%, up solidly from 26% for 2014 as we increasingly benefited from Ting Mobile. Alongside another solid performance from our domain services business, that translated into adjusted EBITDA for the quarter of $6.30 million bringing the year in at $25.6 comfortably above our increased guidance of $25 million. That represents year-over-year growth of 79% for the quarter and 70% for the year. Since launching Ting Mobile at the end of 2011, annual adjusted EBITDA has expanded nearly 3.5 times. Earnings per share for the quarter and the year grew in excess of 80% to $0.29 and $1.04 respectively. Ting Mobile completed a tremendous year as our active accounts and devices grew by 36% and 37% respectively and our gross revenue and gross margin increased year-over-year by 164% and 177% respectively. For the second straight year, we also topped all the major carriers in the consumer report survey of U.S. cell phone providers. In just under four years, since taking our very first customer, Ting Mobile has over 200,000active devices on the service and has become the lead driver of build gross margin and net income in the company. But that exceptional rate of growth has been difficult to maintain. In Q4, we added only 6000 accounts and 10,000 subscribers. That brings our total to 128,000 and 202,000 devices, again, impressive numbers from zero just four years ago and 5% sequential growth in the base in a quarter is good in any business but still a disappointing finish to the year considering our stronger rate of growth up to this point. Those Q4 net adds also reflect another uptick in churn which was 2.73% for the quarter. As we’ve discussed before this is partly the product of our growing and slightly more transient customer base in the GSM service. It might also reflect some ongoing follow-up from our travails with customer support following the spread changes in Q1 and likely also reflects a more difficult competitive environment as has been noted by the incumbents over the last couple of quarters in their conference calls. Importantly, we are now large enough to see meaningful gains in any small improvements to our retention. So we are diving deep into every bit of data at our disposal both structured and unstructured to find the drivers and predictors of churn and to launch tactics against them. We have plenty of arrows in our quiver. We have a support team now that is not only staffed to answer every call quickly and handle every issue capably but one that has started taking on proactive outbound initiatives to welcome, nurture and save. We can extend ourselves further to help customers switch devices or networks to improve their experience. We can do more to help our customers manage their usage and realize the kind of savings we know they would not be able to get with any other provider. From a customer acquisition perspective, we are starting to tap into whole new set of tactics that have real potential for our business. In Q4, we extended our product distribution beyond our own website for the first time with Ting SIM cards on the shelves of Kroger and Staples locations nationwide and an Amazon.com. Now, we will see to expand and promote these partnerships more aggressively. The early returns show that there is some potential and we have to see what this can become with some nurturing. We are also pursuing channel partnerships that we know are a big part of the acquisition mix for the major carriers. These include affinity and advocacy groups, trade associations and large employers that routinely secure special offers for their members. Finally, we are shifting from a pure marketing approach to acquisition with a focus on driving awareness and traffic to the site, to a sales approach that includes greater effort to gather leads and nurture those leads to conversion. So much of what we’ve done over the past four years has been intended to break the mold of how carriers typically operate including how they acquire customers because we believe there is a lot there but it’s inefficient and ineffective. We’ve been incredibly successful in this regard. Now we’re just taking a peek back at both and identifying some tactics that particularly when done in our voice and with our customer driven approach could make growing this business a bit easier. The key customer metrics on the business remain the same, average customer revenues about $37 a month, a phone bill of $23 to $24 per device, gross margins are just north of 50% and average cost for acquisition is still comfortably under $100. Finally, I want to give a hint of where we are headed on Q1 net adds. In the past few weeks, we’ve seen an influx of customers from another key T-Mobile MVNO PTel that closed its doors after 15 years in the business. Those customers will help give us the best quarter of gross adds we have ever had and likely put our net adds comfortably over 11,000. So good news for sure and it is just great to have that recurring margins starting right at the beginning of the year but we do not wanted to distract from a base line net adds trend but that we are determined to improve. As always, we will keep you apprised as we engage in the work. On Ting Internet we continue to build both networks and brand awareness in our current towns and talk to perspective new towns. We're now servicing business in residential gigabit Internet customers in a couple of neighborhoods in Westminster, Maryland, and are leading the next phase of the municipal fiber build there. We’re also serving customers in most parts of Charlottesville, Virginia where we are building the fiber network ourselves. We announced in Q4 and discussed here on the Q3 call that we would begin demand assessment in Holy Springs, North Carolina, a potential third Ting town. This process of demand assessment represents a simple but profound change in the way we are now managing our Ting Internet business. We have added a $9 million preorder option to our website for prospects that are not yet serviceable in towns that we are doing this work. This allows us to measure interest and secure adoption in towns and neighborhoods before ever investing to build there. It will be a crucial part of our process now as we compare respective towns and plan our builds in existing towns. So just to run through some basic parameters in the Ting Internet business we’re now in three towns including Holy Springs with the total of roughly 35,000 potential serviceable addresses. That is addresses that we could eventually build to and service in these towns. We expect to add at least that many potential serviceable addresses again this year with new towns. We continue to benchmark the cost of building and connecting a home at roughly $2,500 and the gross margin from connecting a whole and roughly $1,000 per year. As I mentioned earlier, 2015 was another year of solid performance from our domain services business and Q4 was no exception. Retail was the primary growth driver there with revenue up 18% for both the quarter and the year. We continue to see contribution growth well in excess of 20% as a result of the operating leverage in the business. We expect continued solid numbers out of retail going forward based on our outstanding customer service and experience. This was once again underscored by year-over-year customer growth of more than 14% as well as the renewal rate that was well into the 80s. In our wholesale channel increased margins per domain and reduced cost resulted in a strong year of business results. Driven by the shift in sales mix the higher margin registration, average margin for domain in Q4 was 13% year-over-year and bested the Q3 number which was the highest we’ve seen in years. Our renewal rate on wholesale dipped just a bit in Q4 to 76%, still an outstanding rate relative to the industry. This was driven by a few large resellers that had already left our service transferring your domain names away upon renewal and is not representative of the larger base. We added another nine new gTLDs in Q4 more importantly we now have nearly 2,400 resellers who have registered at least one new gTLD. Adoption of multiple TLDs by resellers tends to bring three distinct benefits to our business, incremental registration, increased margin per domain, and greater loyalty to our service. Contribution from our international resellers continues to grow with market outside of North America and Western Europe accounting for 28% of new registration in Q4. I'd now like to turn the call over to Mike to review our financial results for the quarter in greater detail. Mike?
Mike Cooperman: Thanks, Elliot. As Elliot discussed earlier, the fourth quarter saw year-over-year revenue growth of 16% to a record $45 million, up from $38.8 million in Q4 2014. That took revenue for the year to $172.9 million, up 17% from 2014. Cost of revenues, before network costs, increased 9% to $29.2 million from $26.8 million in Q4 of the prior year. This translated into a 32% increase in gross margin before network costs to $15.8 million from $12 million in Q4 2014. As a percentage of net revenue, gross margin before network costs expanded to 35% from 31%. Breaking down overall gross margin by line of business, gross margin for Network Access increased by $3.7 million or 84% to $8.1 million from $4.4 million for the fourth quarter of 2014. The increase was due primarily to the contribution of the much larger Ting Mobile customer base relative to 12 months earlier. As a percentage of revenue, gross margin for Network Access increased to 47% from 40%. Gross margin for domain services increased by 2% to $7.7 million from $7.6 million in Q4 2014. As percentage of revenue, gross margin for domain services ticked up slightly to 28% from 27%. Looking at the individual components of domain services, gross margin for the wholesale channel in Q4 2015 was essentially unchanged from the same period in the prior year at $5.3 million or 22.5% of revenue. Gross margin for retail services increased 13% to $1.8 million from $1.6 million for the same period last year. As a percentage of revenue, gross margin for retail services was slightly lower at 54% versus 57%. Gross margin for portfolio services was $568,000 compared with $676,000 in Q4 2014. As a percentage of revenue, gross margin for portfolio services was slightly higher at 75% of revenue compared with 74% of revenue in Q4 2014. Turning now to costs, network expenses for the fourth quarter of 2015 increased by $382,000 or 29% to $1.7 million from $1.3 million for the corresponding period of 2014. The increase is largely the result of the additional cost associated with our providing high speed Internet access, Internet hosting and network consulting services to customer BRI position, our majority stake in BRI in February 2015. Total operating expenses for the quarter were $9.5 million, up $1.6 million or 21% from $7.8 million in Q4 2014. The increase is primarily result of the following. First, workforce related expenses increased by $1.4 million from the same quarter of the previous year essentially for two reasons, one, continue to invest in supporting our much larger Ting Mobile customer base as well as the Ting Internet customer base primarily relates to the BRI business, and, two, as we continue to execute to exceed the adjusted EBITDA target set for fiscal 2015 under over achievement bonus program workforce cost this quarter included a further accrual of $300,000. The second contributor to the higher total operating expenses in Q4 2015 was an increase in operating cost by $400,000 versus same quarter in the prior year were expenditures largely to support the growth in Ting Mobile and Ting Internet such as credit card processing fees, travel, facility cost and supplies. And third, as part of our normal portfolio review process, during the quarter, we assessed that an additional batch of domain names acquired with the June 2006 acquisition of Mailbank.com should not be renewed and were allowed to expire. Accordingly, these domain names with a book value of $137,000 have been written off and reported as an impairment of indefinite life intangible assets. These increases in operating cost if we look to Q4 of 2014 were partially offset by the following. First, Professional fees decreased by $300,000 primarily the result of the addition of Sarbanes-Oxley compliance work that we had to undertake in Q4 2014 as it was the first year of SOX order compliance. And second, marketing cost to decrease by $100,000 when compared to the same quarter last year. This is also primarily from our not renewing certain test marketing campaigns that were entered fourth quarter of last year. As a percentage of revenue, total operating expenses were 21% compared to 20% in the same quarter a year earlier. Net income for the fourth quarter of 2015 increased to $3.1 million or $0.29 per share from $1.9 million or $0.16 per share in Q4 of 2014. This brought net income for the full year to $11.4 million or $1.04 per share, an 82% increase from $0.57 per share in Q4 of 2014. Turning to the balance sheet, cash and cash equivalents at the end of Q4 2015 was $7.7 million compared with $11.9 million at the end of Q3 2015 and $8.3 million at the end of Q4 2014. The decrease relative to the end of Q3 is primarily the result of our using $5.4 million during the most recent quarter to repurchase just over 231,000 shares under our open market share buyback program. We also used $1.3 million for payment of withholding taxes on the net exercise of stock options by employees and directors. In addition, we invested just over $900,000 to acquire additional property and equipment, the majority of which was invested in expanding Ting's Internet fiber footprint. These uses of cash were partially offset by positive cash flow from operating activities of approximately $1.5 million. Deferred revenue at the end of the Q4 2015 was $71.6 million, up 1% from $71.1 million at the end of Q4 2014 and down from $74.4 million at the end of Q3 of 2015. And with that, I'd like to turn the call back to Elliot. Elliot?
Elliot Noss: Thanks Mike. 2015 was a strong year for Tucows, a record financial performance and our ability to generate cash flow allowed us to return significant capital to shareholders while comfortably investing in the first year of the Ting Internet business. During Q4, we repurchased an additional 231,000 shares for $5.4 million through our open market program. That brought the total number of shares repurchased under the open market program to just shy of 850,000. With another 194,000 purchased under the Dutch Tender earlier in the year. In total, in 2015, we repurchased a little over 1 million shares or a little more than 9% of shares outstanding at the end of 2014 for a total investment of $23.6 million. This afternoon, we announced in the separate news release the renewal of our open market buyback program which will commence immediately. The new program will allow us to repurchase up to $40 million worth of our shares over the course of the 12 month period. This is double last year’s program with $20 million and reflects the added liquidity of the stock which allows us to obtain more stock in the open market over a given time period. Looking forward to 2016, we're providing adjusted EBITDA guidance of $30 million, up from the $25 million we achieved in 2015. We note that this includes a roughly $2.5 million benefit from the continued decline of the Canadian dollar as well a roughly $2.5 million operating investment in the Ting Internet business as it gets off the ground. We feel good about this number as striking nice balance between growth and investing in the future. Two other notes for 2016. First, we expect the CapEx investment in fiber to be in the range of $15 million to $20 million. There is some variability in this number and it really is just a best guess at this point. It should not be looked out with the same precision at EBITDA guidance. It is unlikely to be much more than that and it could possibly be less. I also note that CapEx investment in fiber is beneficial from a tax perspective. Second, I want to give investors a better sense of when to expect an EBITDA contribution for the Ting Internet business. We now have a much better sense of the operating variables in that business. We suggest investors think about investment in 2016 and most of 2017 should started to swing to breakeven late in 2017 or early in 2018 and contribute in a real way in 2019. We see the investment through that time period being a reasonable one, not one that will cause EBITDA to stop consistently growing. As is our practice we will continue to share visibility as we learn and experience more and as the first markets start to ripen. In conclusion, 2015 was a solid year. We combined a strong financial performance with real progress in a new long-term growth rate for the company and we did all of this while continuing to return significant amounts of capital to shareholders. We feel good about the business being able to grow EBITDA at a healthy rate while returning capital and investing in the future; we like that recipe. And with that, I'd like to open the call to questions. Operator?
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of David Tomljenovic with Cantor Fitzgerald. Your line is now open.
David Tomljenovic: Hi, Elliot, how are you?
Elliot Noss: Hi, David, how are you?
David Tomljenovic: Good thanks. Just a couple of questions. I was curious about the Ting Mobile business and is there any difference in their profile of GSM customer versus the CDMA customer too?
Elliot Noss: No, when I talk about GSM customers being more transient, it’s simply easier to get in and out of devices. Because GSM is a global standard, you can find phones more easily than you can with CDMA or phones with the Sprint Network, and so people tend to come and go little easier. One of the things that I talked about on earlier calls is that there is a certain percentage of the user base, for instance, Snowbirds from Canada or people who are coming over from Europe to work for a year, those people who used to potentially use CDMA now would be much more like when you use GSM phones. So we just see this higher churn level on the GSM side, we’re trying to put as fine a point on it as we can, but that’s the best way of understand it.
David Tomljenovic: So from a customer acquisition cost and cost of maintenance and I guess from ARPU perspective Ting mobile customer is a Ting mobile customer that generally produce the same metrics on an account basis?
Elliot Noss: Yes. So when you start to sort of throw all the costs into the file, the long-term value of customers looks pretty similar and we still think the more important sort of product variable is to not confuse people by making them do things like too arbitrarily have to choose a network, people don’t understand things like that. So really what we’ve done historically we've been seeing product experience through the purchase is have the device drive it. Now we have identified a couple of places where we might be confusing people a little more than we hope and we’re in the process of cleaning those up.
David Tomljenovic: Okay. And just you discussed quite a new series of marketing and customer acquisition strategies. Do you think the modeling out you’ve done, does it meaningfully change if you go from have resource media focus and direct reach to customers trying to go through channels and other distribution, does it meaningfully change the customer acquisition cost for you?
Elliot Noss: I think the short answer is we don’t know yet, when you say meaningfully I’m going to give an answer of no and on pack that a little bit. We think that -- so everything we are looking at tends to come in at the margin at similar levels to what we are paying now. So when I say paying now, remember I always gear as anybody does a blended number. So what we are paying for that marginal customers certainly more expensive than that. And what we’re seeing in the things that we’re trying doesn’t really blow that number up much. Probably most importantly, David, there is such a gap in the economics of customers for us, there's such a gap between the long-term value of the customer and the customer acquisition cost that, frankly, if I could ramp it up significantly I would happily double my CAC.
David Tomljenovic: Right, and just a philosophical question around customer acquisition cost, you’re always trying to balance, this is such a nice margin business for you, I guess its growth versus profitability on a segment basis. So, are you more disciplined around margin and less focused around ambitions from growth, how do you think and what's the process around that?
Elliot Noss: So we talk, we’ve always said kind of gross margins in the long-term range of 45% to 50% which we think strikes a nice balance. We are a little bit at the top end of that range. I think if we were convinced today that materially dropping price would something that would really change move the needle, we might look at it. I would note that sadly for us the place where we would most want to address price is in data pricing, and that’s the place where we have the lowest margins. So we really have the least flexibility there unless we want to start to play the breakage gate and that gets a little bit more dangerous or little bit more risky. So we think today that there is so much value still in the packages that we’re offering that we’re really looking at other things to try and sort of move the needle.
David Tomljenovic: Right, okay. And then just I won’t ask any more questions. I’ll get back in the queue if there is other people but just quickly about the CapEx in the Internet business, how will you -- will you expense things as they come or will you capitalize them or what will be the accounting treatment?
Elliot Noss: Just, when we are laying fiber, hardcore laying fiber guides on pull we're required to capitalize it. Yes, that is just what it is.
David Tomljenovic: And what’s the amortization period?
Elliot Noss: So it’s typically 15 years with some significant acceleration in the first year.
David Tomljenovic: Okay, all right, I’ll jump back in queue and give some other people a chance.
Elliot Noss: Thanks.
Operator: Your next question comes from the line of Hubert Mak with Cormark. Your line is now open.
Hubert Mak: Hey, Elliot, maybe just first small one on the Internet fixed end of business, so in terms of CapEx, I want to clear so was it a -- what's the number that you gave on the CapEx side for this year?
Elliot Noss: That was a range of $15 million to $20 million. And I think the one caveat I want to put there, I did say that’s something that’s really going to evolve it’s going to depend on the speed of the builds, it’s going to depend also on the type of builds. So there is some markets that we look at as you saw in Charlottesville where we bought some fiber going in. So you could see some of that money actually spent potentially on small acquisition of a fiber network just as easily as laying fiber in the ground.
Hubert Mak: Okay, so then the $15 million to $20 million reflects what you think would be entering new markets as well then, not for just existing markets?
Elliot Noss: That’s right. Oh, yes, certainly, that will be Holy Springs and whatever it might be additional two, three, four markets that we start dipping the shovel in the ground in 2016.
Hubert Mak: Okay. And then on the mobile business, obviously you’re seeing competition here and it sounds like you have the lowest price. So it really is I guess from your perspective that’s all about trying to market better than your competitors, is that how we should think about in terms of trying that subscriber growth back up?
Elliot Noss: Market better. So I want to tease it out a little. I’m not saying we have the absolute lowest price although for a significant portion of users we do. I think that there is enough savings and you could still just look at the fact that the vast majority of the market I want to say high 80% of the U.S. market is with the big four carriers and we are absolutely less expensive than they are for the vast majority of users. So there is enough value in the pricing. I don’t think it’s, you see market better I want to think about it as just drive awareness in the way that we can. We want to kind of take some more traditional approaches but do them in our way, in a slightly different way. I don’t want to hear market better have a more clever television commercial or they’re doing the NFL Halftime Show and we'll at the NBA Halftime Show. It’s not at all like that. I think you’ve heard about some specific approaches and we think inside of those specific approaches we can do that in our voice and in our way, and really hopefully get some traction out of that.
Hubert Mak: Okay. And then in terms of the 11,000 or this a year maybe some adds this quarter can you give us a ballpark of how much is coming from PTel?
Elliot Noss: From PTel? So I don’t have precise numbers there, so I’m…
Hubert Mak: And I guess I’m trying to figure out what is your sort of expectation from your business moving forward like business 6,000 --
Elliot Noss: Let’s say I state, unless we start to have some success with some of the new tactics it'll be closer to Q4 than it was for the fourth quarter previous. But again, as is always our practice, we are going to look to know next quarter what worked and what didn't. I don’t mind unpacking because we didn’t do it in the remarks and there is a lot of stuff there that with retail we’ve seen a little bit of kind of a little ray of positivity there. We found a little bit in pile of things we’re trying that looks like it is a keeper. Now we got to keep out it, I don’t want to be too specific about it but so we’re it obviously did blow the doors off the numbers but we do see some stuff that looks it is worth keeping in the mix.
Hubert Mak: Okay, I will pass the line.
Elliot Noss: Thank you.
Operator: [Operator Instructions]. Your next question comes from the line of Patrick Retzer with RCM. Your line is now open.
Patrick Retzer: Hi guys. Congratulations on another good quarter.
Elliot Noss: Thanks Pat. Hi.
Patrick Retzer: You’ve always been quite aggressive on the buybacks but I think you've set the bar a little higher this time the $40 million buyback at current prices represents over 20% of outstanding shares. And I love owning a company that's growing yet substantially shrinking their share count, so don’t get me wrong, but can you give us some insight on to what went into the decision to set it at that level?
Elliot Noss: Sure. So remember that that's an amount that we don’t exceed that, just want a fixed amount, we didn't think that's an up-to number. And this year, I want to say, is the first time we topped out of our number. And you can see just by doing the math on what we’ve announced that we missed out on some real value in the last couple of weeks or the open window of this year. I think the best answer I could give you, Pat, is EBITDA went up 60% this year and the stock is up less than 2%. I think if I’m not mistaken it closed today at less than we were tendering for in January of 2015 and we got less than 20% of that tender. So we kind of felt that markets are somewhat irrational, and if they choose to be we want to be ready. One of the things that I said in the last couple of calls and certainly talked about with the number of investors, it’s a balance and the choice between how much money we put in the ground in fiber, how much money we spend on the stock, how much money we look at other opportunities with is really about the specific opportunity that we’re looking at, at that specific time. So I just -- I can tell you about it if the stocks stayed around these prices all of next year and that could be because of the exogenous global factors, we could spend that much money.
Patrick Retzer: Okay. So I believe in the past you’ve said you thought you'd amounts getting them to four to six new markets in 2016 for fiber and probably 4% to 6% new markets beyond that in 2017, 2016 including Holly Springs. So do you still anticipate an additional three to five markets that you announced this year?
Elliot Noss: And I would say possible, there is two caveats. One, sometimes municipal processes move a little slower than one would like and I think that as we get further incidence we see more of that, but two, and probably more importantly, it’s going to be about the number of homes we pass as much as it's going to be about the number of markets. So we’ve got a couple slightly larger markets that were looking at and we might do little bit less in terms of number of markets but the same amount of kind of fiber in the ground. So I do want to put back caveat out there as well.
Patrick Retzer: Okay. It seems like the whole gigabits Internets or gigabit broadband market is heating up, getting a lot more attention. Do you think you'll be limited by the number of opportunities that you can get into or will you be -- will you have more than enough opportunities and just be limited to how much you think you can adequately handle?
Elliot Noss: There are loads of opportunities. We really don’t think that the number of opportunities will be the limiting factor at all. It will very much be about sort of the operating ramp, the capital ramp, and what we’re comfortable with. I think you've heard me say a couple times I want to excel at that first 100,000, 200,000 customers that we lay there. That’s the most important thing as to do that to really do this well and I think if we do that the rest takes care of itself.
Patrick Retzer: Okay. And I know it’s early in the fiber game but the markets that you have entered have you seen any cross selling benefit for the Ting mobile?
Elliot Noss: Little bit but so when I tell you that its more around just brand halo at this point and awareness, we have not even begin to actually market in that way and we won’t probably until Charlottesville will is the first market that’s going to ripen for us. And it will take another year or two before we are through just building out the town addressing all the MDUs of the great opportunities, we haven’t even -- there is so much turn our mind to there and what inevitably happen is you start to get some contiguous opportunities. And so, we've got a lot of need on the brand before were turning our mind to that I think. So it's naturally the case and we looked at some of the data, people are markedly with the brand, people have a good experience, they want to know about it.
Patrick Retzer: Okay, well, keep up the good work.
Elliot Noss: Thanks Pat.
Operator: Your next question comes from the line of Matt Miller with Boyles Asset Management. Your line is now open.
Matt Miller: Good afternoon, gentlemen. How are you?
Elliot Noss: Hi Matt.
Matt Miller: Quick question for you on the balance sheet. I wonder when you look at the core businesses as they exist today excluding the fiber business what comfort level do you have on leverage on the balance sheet? And then secondly how do you envision essentially financing the fiber build if it were its own standalone business, how would that be financed in your mind?
Elliot Noss: Yes, so in general across the business I’m very comfortable -- I mean the language I want to use is I’m very comfortable with two times; it's going to take a while before we spend up to two times. So across that bridge is it 2.5, is it 3, is it 2, when we come to it because I do think there is a it’s a fair bit of a runway before that happens. And absent fiber there would be obviously no need other than massive buyback to really take on much in the way of leverage and in terms of funding fiber, what is really interesting and we’re early in these discussions but its infrastructure. And I am used to speaking with banks for years where I have these crazy Internet businesses. And they are not used to back stopping them. When you’re talking to banks about infrastructure and construction it’s a lot more comfortable for them. So what I can tell you, Matt, is that what I’ve seen out in the market and by this I mean some of the other fiber builds and fiber companies and their relationships with lenders, it’s quite encouraging. There is a lot of money looking, as you know, lot of money looking for good consistent return and boy investing in infrastructure like fiber is just – it’s a very safe and positive return play.
Matthew Miller: Thank you.
Operator: Your next question comes from the line of Oliver Richner with Osmium. Your line is now open.
John Lewis: Hey Elliot, it’s John Lewis. How are you?
Elliot Noss: Hi John, how are you?
John Lewis: Yes, a lot of my questions have been answered but I guess just off the top, so I think the read is the current demand for 2016 for fiber is something like 7,000 homes; is that approximately right?
Elliot Noss: What did you do to get to that 7,000, was that a 20% of 35,000?
John Lewis: Yes, basically, and then I tied kind of your CapEx number.
Elliot Noss: So remember that you’re going to be based on two things there, one, that 35,000 is being finished in all three of these towns, right, and in one of these three towns it’s not our build, it’s city build. So exactly not all of these towns are going to be built; certainly Holly Springs will not be completed in 2016, we would love to get to a nice piece of it if everything checks out there. Charlottesville we will start to get pretty close but would probably spill into 2017 somewhat. And the second thing is is in the early stages of builds and Holly Springs are starting de novo. In the early stages of build, you’re also building a fair bit of mile, right, you’re not kind of -- it is tough to kind of take the CapEx spend and then just turn it into serviceable addresses. I think that as we kind of continue vary I wanted to sort of layout couple of important things here is what 2016 looks like, here's what the longer term look at the fiber business looks like, it is going to sometime in the next couple of quarters when I start to give some visibility some penetration in Charlottesville.
John Lewis: Got it, okay. Given how wide open the marketplace is today in fiber and given how you had a thoughtful look at it over the last couple of years, what are kind of the discriminating factors of your top 10 pipeline? Is it I know you guys look at density? I mean do you – can you give any color on what the top couple towns look like relative to what you have today or you seeing -- I'd imagine the opportunity set for your next town that you'd go in would be fairly compelling.
Elliot Noss: Yes. So the first couple of markets that we are in, we were in there in particular circumstances in each case. We’ve really only just started to engage with the City of Charlottesville in any kind of formal way. We were lucky that the business we found and the fiber we – the fiber network we bought happened to be located in such a great location which has density, great demographics, the right population base for us and all of those things. But there is all kinds of other variables. Holly Springs, for instance, has its own fiber backbone running right through the heart of town. That makes things a lot easier. I will tell you at the very top of the list is a city willingness to kind of work closely with us, their engagement and excitement around fiber itself and so is the right infrastructure mix whether that's access to poles or conduits, whether that's sort of a preexisting fiber builds there is things like that really can make the whole exercise much, much easier. And we’re getting better at that, I think I’ve said in the last call that in '15 we were kind of learning how do I deal with the blocking and tackling and actually lighting up a customer, getting the install process down, getting the core elements of customer service. In 2016, we really sort of refining the pipeline elements. I don’t think were you know we’re nearly good at it yet, but that’s what you got to do in business and get out there and iterate and learn. I think that we see all the time we watch Google fiber very closely, we see them learning lessons with every market they go in to, and they're a great learning machine, so we watch them pretty closely. And there is really nobody else its engage in a similar exercise that kind of working through a pipeline, willing to go coast to coast, and willing to do gigabit fiber like that. So we think as more people come in to the market that we more learning to have to.
John Lewis: It’s very helpful. Thank you for that. And then my last question is this I start GoDaddy is gotten more active in buying domain portfolios and I went to your site and saw if you add up your 70,000 dotcoms I think the asking price is about $90 million. I know obviously it's a illiquid asset and it’s the you only sell a tiny fraction of that every year, but I know you have a lot of attractive opportunities to invest capital including aggressive share repurchases. How do you think about what rate or what discount you would take for, I mean, obviously, it's all theoretical but is there some number here that you would consider exploring a sale of that domain portfolio?
Elliot Noss: Yes, so I think that, what would I say? Probably, two things. One, we always talked to everybody. I mean, you've known as long enough to know that we're relationship organization and so we’re always talking to everybody. Other than GoDaddy there is a not a lot of buyers that the very high end of that market. I think the second thing I'd share, don't mind sharing, we look at that as of practical not a strategic asset. And so the number is probably some more between what you trade at and what we can get today.
John Lewis: Sorry, wait just to understand what you, for me clear ball there. Sorry, what you, you mean the carrying value and what you’re asking for it?
Elliot Noss: No, no, it’s not like we haven’t asking price for the portfolio, it's -- we probably wouldn’t needed to be accretive at an EBIDTA level in a sale, but it’s not we haven’t seen a price that we like at all. We don’t think it’s a likely for us.
John Lewis: Okay, just for simplicity is it, I mean would you have to take is it $0.40 on the dollar of the asking price, ballpark or can you any give any kind of range on what it’s could work is it fairly significant asset?
Elliot Noss: Yes, it’s a significant asset probably to give you a range I would be compromising my ability to do the best for you with.
John Lewis: All right, well, thank you very much, well done and we’re excited with the investment opportunities.
Elliot Noss: Thanks, John.
Operator: Your next question comes from the line of Pete Lanctot with Goudy Park Capital. Your line is now open.
Pete Lanctot: Hey Elliot, , congrats on another strong quarter.
Elliot Noss: Hey, Pete, thanks.
Pete Lanctot: Just going back to Ting mobile for a minute it sounds like we’re now at a point where the customer service center in effort sort of fullish, shirt up and back to where you want it to, it you would be right for us to expect that that will help really help in reducing that churn rate through the rest of the year particularly as you bring on these customers from PTel but also from some of the new marketing efforts such as Staples and Kroger's.
Elliot Noss: I think the short answer is yes, but with one caveat. We got vast into promise who also believe towards the, it was the third week in October, maybe into the fourth week. So the churn that we talked about that we weren’t happy was in Q4 we have looked back and seen little bit of little bumps it seems as if Americans love to buy and shop and change phone carriers in Q4. So there is a little bit of seasonality in that, but we’re not kind of counting on it. But I think more importantly, more than coming back into promise, more than being able to throw the people out at because I think they were available for mostly Q4, we just think that we’re going to – we’re going to find keys in the data that are going to help us really grind a way at it. I talked about looking at both structured and unstructured data, not going to go specifically into our learning but we’re getting at it and I just, I really believe we’re going to be able to impact it.
Pete Lanctot: Okay. Okay, that is helpful.
Elliot Noss: Again, that is a long way of saying I like the prospects of digging deeper into the data more than I do -- I think customer service has been great already; I’m not looking for that to step up. It’s I think is going to be about being smart with data.
Pete Lanctot: Okay. That makes sense. And then is there any sort of -- its early but is there any sort of color you can give us on how those relationships will Staples and Kroger's, how those are progressing kind of you obviously don’t want to give away anything which you’re going to be doing in the coming year specifically but kind of maybe give us just little more of color on kind of those efforts and what kind of impact that could have?
Elliot Noss: Yes. So I want to repeat what I said a few questions earlier we had seen a glimmer of positive there. We feel like we’ve got to now kind of look at that little crack of light and sort of push on little bit. And I think the second thing is which I talked about in the past that I will go little further with, we were able to -- we were lucky to get in stores just on the sell in time for the holiday season but we weren't able to do any in-store promotion or end-caps and we were able to do some of that in January. If you had been in the right Kroger you might have seen on the floor in front of the Tucows -- sorry, from the Ting SIM cards in front of all the SIM cards on that floor a big kind of team sticker I guess I'd call it on the floor. And it's things like that that we think can start to help and contribute or at least determine what the potential of these really sort of push on the potential these opportunities. And I think the other element of that is longer term, Pete, and that one of the things that we hear from our customers all the time is this version of, "I love you guys, I tell my friends about you, they have never heard of you and don’t have a clue who you are," and that hurts. And they’re telling us this because it is hurting their ability to kind of hurt their friends. So we think that things like these in-store retail displays will help that, if there is just a credibility in that, all I saw that on the aisle, on the floor that must be real. And so that’s something that really takes a fair bit of time in the oven to contribute.
Pete Lanctot: Okay, great. Thanks so much, Elliot, and looking forward to a strong 2016.
Elliot Noss: Thanks Pete.
Operator: Your next question comes from the line of David Tomljenovic with Cantor Fitzgerald. Your line is now open.
David Tomljenovic: Hi, how are you? I know it’s a long call, just two quick questions. High level thoughts buy versus build whether that be in the Ting business and the Internet business are need to say to understand better where your mind is around, somebody like are there other distressed MVNOs that are there that are like PTel, where maybe they are not quite so distressed but you can go and pay them some nominal discounted value of their customers and acquire a bunch of people at one time? And then the second question is relating to the Internet opportunity, all the things I read that the only thing holding back this market is largely municipal politics and some of the incumbents there lobbying the municipal politicians that can really be the fly in the ointment of getting the townships and the municipalities the people that live there what they want. So, is that changing and is there a still enough opportunity there outside of complex municipal government which can be difficult to deal with?
Elliot Noss: So okay, I'll do those in order. The PTel thing was fairly one off. We’ve always looked for customer basis on the mobile side, any banker who asks me what they can find for me in terms of assets, so if there is any banker listing out there, I always talk about mobile customer basis but it’s not only that there is a mobile customer basis that only that they want to set but it’s also that they have a pricing paradigm that allows us to migrate pretty quickly. We‘re not really super eager to run a bunch of multiple brands or leave at different price point. That kind of complexity as we got the -- is what has gotten in the incumbents in such trouble with their billing and back office and their whole customer service, and we will avoid that. So I think PTel is a little bit one off. I don’t know if you are asking about fiber versus build in Ting Internet but I’ll answer it anyway, and I will tell you that there because I did reference it earlier when I was talking about the CapEx spend, with fiber as build on the Internet side that’s really about time. So if we are looking at a market and there is an asset in that market that is reasonably priced we just get down to the road that much quicker, and time is the one thing that’s hard as to sort of get your hands around. So that’s really where that trade off take place. When it comes to muni politics in fiber, it's actually not a little bit a factor, so I want to separate into two buckets,. We do here lots of there are lots of municipalities that are fighting with incumbents about fiber builds. Those tends to be about municipal fiber builds. So this is really where in places like Chattanooga, or Wilson, North Carolina where the muni, often the muni utility lays the fiber themselves and then provides the Internet provisioning themselves. We think that’s a great thing when a municipality can execute against it. We're supportive of muni fiber. But we don’t suffer from that political issue because we’re a private company and typically with the incumbents are sort of trying to spike is sort of public entities getting into the business. And also, very importantly, there's nearly 20,000 cities and towns in the U.S., some have political issues, many, many, many don’t. So when I talked earlier about municipal politics small p, getting in the way it’s really just about decision making processes and information flows and things like that. So we’re not in any way feeling opportunity constrain, we think there is loads of target out there and that that's only going to increase.
David Tomljenovic: Great, thanks very much.
Elliot Noss: Thank you.
Operator: Your next question comes from the line of Hubert Mak with Cormark. Your line is now open.
Hubert Mak: I just want to reconcile the guidance you gave on the EBITDA, so I want to make sure I’m clear here, so you are looking for 2016 up about $30 million.
Elliot Noss: Right.
Hubert Mak: I think I heard $2.5 million is the loss for investment into the Ting Internet.
Elliot Noss: That's right.
Hubert Mak: That would put you at about $32.5 million, and I think I also heard there is two things. You’re getting a FX benefit of $2.5 million for the year so that’s basically just cost going down to FX exchange I guess that’s way to put it. So then basically your number is going from $25.5 million to I guess basically $30 million in EBITDA. Is that all from Ting or what is driving that such a big move? I'm just trying to reconcile I can now your Ting subcounts are potentially in around Q4 mark. So can you just sort of give me a little bit more details as to how you kind of get there, like what’s driving that?
Elliot Noss: Yes, so I mean there is so many interdependent variables, I mean I don’t want you to peg me hard to the Q4 net add number. Certainly going to be improvements in the domain, so there is always a bit of leverage in the business and I think that there is, there is always some bits and pieces that are going to change and contribute. I think what I wanted to do is speaking good broad numbers there, I wanted to make sure that people had visibility to the kind of what the investment is; it might be $2.5 million, $3 million it might probably, if we sharpen the pencil it might be a little closer to $3 million the investment in Ting Internet. On the Forex side that is an easy number because we’re hedged and what that number is, is the what dollars we’re costing -- what Canadian dollars were costing us in 2016 versus 2015. So I wanted to make sure that we were transparent about that so that it didn't look like we're trying to play hide the peanut on growth there. And I think you can, I don’t know, maybe take some run through some specifics with me offline but I think the numbers tumbles just about they should.
Hubert Mak: Okay. All right, very thanks.
Elliot Noss: Thanks.
Operator: And there are no further questions at this time. I will now turn the call back over to Mr. Noss.
Elliot Noss: Great. Thank you everybody and I look forward to speaking to you again next quarter. Thanks operator.
Operator: This concludes today’s conference call. You may now disconnect.